Operator: Good morning or good afternoon, ladies and gentleman and welcome to the OceanaGold Q3 2016 Results Webcast and Conference Call. [Operator Instructions] This call is being recorded on October 27, 2016, at 5 PM Eastern Standard Time. I would now like to turn the conference over to Mr. Jeff Sansom. Please go ahead.
Jeff Sansom: Hello, everybody and welcome to the OceanaGold third quarter 2016 financial and operating results call and webcast. Thank you for joining today. My name is Jeff Sansom, Analyst, Investor Relations at OceanaGold. On the call with me today are Michael Holmes, Chief Operating Officer, Edward Sidboon, Corporate Controller. Joining us from New Zealand is Mark Chamberlain, Chief Financial Officer and from Vancouver is Darren Klinck, Executive Vice President, Corporate Development. Mick Wilkes, President and Chief Executive Officer, is unable to join the webcast and he sends his regards. For those who wish to ask questions, we will be taking them through the telephone only and following the conclusion of the formal presentation. Before we proceed, note that all references in the presentation that you're about to hear adhere to International Financial Reporting Standards and all financial figures are denominated in US dollars unless otherwise stated. Also note that the presentation contains forward-looking statements which, by their very nature, are subject to some degree of uncertainty. I will now turn it over to Michael Holmes to begin the main portion of the presentation.
Michael Holmes: Thank you, Jeff. Good morning and good afternoon all and thank you for joining us today to discuss our operational financial performance over the quarter ending 30 September, 2016. Before I start, I would like to pay our respect to James Denham Shale, our long serving Board Member who unexpectedly passed away on Monday. Denham has been a pillar of strength for OceanaGold where he served as a Non-Executive Director since February 2004 and in 2007 following the merger of Oceana and Climax was appointed as the Lead Non-Executive Director. Denham was also a practising lawyer who was previously the Chair of New Zealand’s leading law firm Kensington Swan Lawyers. Over the past 25 years Denham has been on the board of numerous Australian and New Zealand companies including Otter Gold Limited, [indiscernible] Auctions Limited and is the immediate past President and a distinguish Fellow of the Institute of Directors in New Zealand. Denham embodied our corporate values and was a significant contributor to the success of our company of his many years of tenure. On behalf of the company, we offer our deepest condolences and prayers to his wife Julian and his children Karla, Paul and Veronica during this difficult time. We move on to the key highlights quarter three has been another strong quarter for OceanaGold and we’ve had a solid nine months of strong production from our assets. With cost generally in line with expectations and strong cash flows from our operations. Haile continues to do well and we remain on schedule and budget. We’ve commenced commissioning activities in the plant as well within the crushing circuit, where we now are crushing rock and conveyor [ph] rock. We’ve completed the PAG Cell Phase 2 and the TSF, which is no small feat for those who live within the area, the TSF is around about 540 acres fully engineered and lying upon which was a critical path item for much of the year. We’re accounting mining in the pit in the steady state from Mill Zone at approximately 60,000 tons of material a day and we’ve stockpiled approximately 350,000 oxide ore about 93,000 ton of sulphide ore. So Haile is progressing well and still on track for first rock through the mill at the end of the year and first ore produced in quarter one. Another growth area for Didipio Underground is progressing also very well and we’re currently about 1,950 metres down the decline. We’ve also through the process of additional information and additional drilling have enhanced the underground design and we’re expected to reduce the loss of mine [ph] operating our sustaining CapEx by around about $30 million by the way in which we can have a look at the stope [ph] sizing some of the areas that were believed to be of poor quality ground. Exploration successes continued at all sites. Haile, Waihi and Macraes and this quarter we release the underground PEA and we have commenced the Haile optimization study. As we - moving forward with the strong financials which you can see there with regards to gold sales 98,195 ounces and copper sales of 5,596 tons. The revenue $150 million and EBITDA of $62 million and the net profit $31 million for the quarter. And year-to-date results show good gold production at 314,000 ounces and the copper production of 17,358 tons with an All-in sustaining cost $730 per ounce. Onto the next slide we continue to work - the focus on safety. As mentioned in the last quarterly report for the quarter we did tragically have an underground fatality, where one of our operators at the Waihi mine was badly injured when his lighter went over an open [indiscernible]. Immediately following the accident the operation was suspended for seven days out of respect and to commence the investigation, that investigation remains ongoing. The safety performance has continued to improve over the years as shown. However there is always room for improvement and we’ll work with all of our employees to work towards creating a workplace where all of our employees can go home without harm safely every day. We are not there yet, but we are steadfast in our safety commitment and we’ll keep working towards achieving this. Onto the next slide, we’re continually working collaboratively with the regulatory bodies in the Philippines to advance responsible mining within the country. As you’re well aware, there has been a lot of activity in the Philippines and I would like to provide a little bit more color around the information that we have received following the DENR order. So on October 17, the company received the official DENR order to report. The order report contains findings and recommendations that were consistent with those that were identified and discussed with the audit team onsite at the audit close-out meeting. These findings are contained ZERO environmental or legislative violations. The majority of the recommendations related to further IEC, which is Information Education and Communication Program and enhancing that. The audit team acknowledge and recognized the government requires and recommends to the governments intervention continues with the need to address the illegal small-scale miners. And the audit report also highlights that the Didipio enjoys a strong ongoing community support for the mine. So following that, we had submitted our formal response to the DENR on the 24, October. And we are very detailing I suppose the actions from the findings and the recommendations of which of the majority of those were put in place following the order of close out meeting that we had following the orders. So we are working with the government and we are very confident in the near time resolution with regards to this process. Additionally, it’s also worth noting that after the audit the company was nominated for the third straight in the year for the 2016 Presidential Award for the “Most Environmentally Responsible” award which we were the recipient of in 2015. The next slide year-to-date consolidated performance. Year-to-date as it’s mentioned as it’s been strong nine months. Operationally the company’s consolidated growth has grown 6% to approximately 314,000 ounces with the growth in Didipio and Waihi partially offset by the softer production and Macraes and the Reefton on care maintenance. Financially our revenue has increased 32%, our EBITDA has increased 59% and the net profit has increased 209%. An increase in net profit is primarily related to the increased sales, improved realized gold price. The increase of 7% partially offset by the increases in DNI [ph] and the copper price received which has decreased 7%. Our all-in sustaining costs have continued to decrease since 2013 by 16% to $730 per ounce. Now if we move onto Haile and discuss the exciting project there and the progress that they’re making. The picture there shows the Mill Zone pit the whole row and the commissioning of the crusher and the crush crop [ph] that you see there behind there underneath the conveyor. So today we’re tracking on schedule and on budget as mentioned. We’ve currently spent $316 million out of $380 with approximately $349 million spent and committed. Construction of the TSF is completed as mentioned significant achievement for this item and as mentioned it has been a critical part item for much of the year. The civil works, structural infrastructure, mechanical infrastructure most of them have also been completed. And the focus now is on the piping infrastructure, electrical infrastructure and continue with the mining. We’re on track as mentioned for our major milestones with first ore through the mill at the end of this year and commencing commercial production for 2017 or early 2017. Going to the next slide with regard to the Process Plant there is progressing well. We’re focusing on the installation of the piping, electrical and instrumentation infrastructure. We’ve installed all the steels, the tanks, mechanical equipment and energization and commissioning works are commencing. With regards to processing plant as mentioned the crusher and conveyor circuit including the emergency stockpile have been constructed and we’ve currently crossed upward about 21,000 tons of rock. So the commissioning there is going exceptionally well. To the grinding process in the next slide, the grinding mills. The mills have been fully lined and we’re working towards energising the grinding circuit in mid-November. So a significant works and significant activities have been completed. So the mining there, there’s a good shot of Mill Zone Pit, which is a number one pit. We’re now mining as mentioned sulphide ore and have already stockpiled around about 93,000 tons stockpiled ore and we’re currently mining at a mining rate of 60,000 tons per day. In addition to that, we’ve mentioned the 350,000 tons of oxide ore for future processing and we’ve also commissioned an additional larger trucks, three trucks that I advised there to assist in the process as well. A lovely picture in the next slide of the TSF. 540 acres, so about 87 MCGs there are people that well don’t know what size it is, so construction of that is incomplete fully lined TSF facility. So the process there now is the regulators being on site and we’re going through the final process of gaining approval for using the TSF. So that has been one of our critical items that has progressed exceptionally well. Moving onto operational performance for the quarter. For the Didipio in quarter three, it was a softer quarter for us in the first three quarters and that is as expected and as previously forecasted. The softer production quarter was in relation to mining the lower grade or as we mine our final stage six of the open pit. During the quarter we made three shipments to concentrate for total sales volume of 32,500 ounces, copper was much the same and the production for the quarter was softer than quarter two as expected and previously forecasted. The all-in sustaining cost was $273 per ounce sold and cash cost to US$39 per ounce. So we continue to track well against our full year cost and production guidance as we expect to mine the high grades, as we enter into the high grade zone of Stage 6 in the open pit. So on track there and as previously forecasted. For the operating statistics during the quarter we mined less waste and more ore, so as we’re finalizing the remainder of the last stage. The increase in ore was mined due to the increase in free strip activities that we completed in quarter two, 2016 opening up the lower grade ore of Stage 6. The processing of the ore decreased on quarter-on-quarter due to some scheduling plant maintenance as well as processing the harder ore. Gold and copper grades were down, quarter-on-quarter and as mentioned that’s just generally due to the position of the mine as we mine through the lower grade areas in Stage 6. In quarter four we have scheduled plant uprights, including upright of the site as well as installation of a concentrate wiring system. So we are expecting I suppose throughput to be down for the fourth quarter due to the prolonged maintenance shut, but we also expect the grades to increase about in the fourth quarter as we move into the high grade of the Stage 6 so expecting the guidance to be met therefore to Didipio. As we look at Didipio underground. Sorry so for the Open Pit, there’s a next one expected completion in late 2017 and at the completion of the Open Pit we will have 24 million tons of ore stockpiled on the surface ready to be blended with the underground ore which will be coming out in late 2017. So the underground will start for the milling mining rate of 1 million tons per annum for the first three years and then post to 2020 we’ll get up to mining rate of 1.6 million tons when we open the second panel. Though as mentioned counting the decline is approximately 1.9 kilometers down and that’s possibly depth 265 metres down vertically down from the portal. We’ve completed the [indiscernible] in the first [technical difficulty] through the quarter and we’re in the process of reaming the second exhaust shaft. We’ve awarded attendance for the supply of the pace through plant with construction to begin during the second quarter of 2017. So as mentioned following the review of the design stage, we’re continuing to upgrade and redefine and look for improvements and part of that improvement is looking at the Waihi which we’re taking the stokes out in some of the previously thought of wafer rocks [ph] and we’ve managed to improve our life and line capital expenditure by reducing by $30 million. We are also starting an exploration program underground, where if you have a look at the diagram to the right-hand side you see the two red [indiscernible] coming down. So we’ve started the drilling program to do some infill drilling or some exploration drilling at bed as well as we have started to do some infill resource reserve drilling in the ore body as well. Those programs have started in quarter three. Moving onto Waihi as expected and previously forecast the gold production for the quarter was softer than compared to quarter two, that’s resulted from a lower mine head grade from the Correnso vein. Our year-to-date all-in sustaining cost was $726 per ounce sold and cash cost at $487 per ounce. In quarter four, we expect the production to increase and we expect and that to be high in quarter two and three and we remained on track at Waihi to achieve our full year cost and production guidance. The operational statistics mine and mill basically broadly in line with quarter two, however we mined less waste. And as mentioned we’re expecting the high grades in quarter four as we continue to develop access into the Daybreak, Empire and Christina veins. At Waihi we continue with our exploration program with three surface rigs and four underground rigs. In quarter three, drilling focused on resource, reserve, conversion of Correnso, Empire and Daybreak and potential extension of the mouth of vein system. Explorations continues to test the resource potential of Major lodes, Linking veins and Stockwork zones beneath the current open pit and continues to deliver encouraging intercepts as reported in the September exploration update. Moving forward to quarter four, we continue drilling beneath the Open Pit and we expect to commence drilling at WKP. Regional drilling in quarter four this year. So a good program there 34,000 metres of drilling plant for 2016 and year-to-date we’ve completed 26,000 metres. For Macraes Reefton quarter three. As mentioned Reefton has been put on care on maintenance. And the mine’s on care on maintenance and the Macraes in quarter three. We’ve produced 40,182 ounces in the third quarter. The quarter-on-quarter increase was primarily due to improved head grade and higher recoveries and our all-in basis cost were $1,138 per ounce so all-in cash cost of $861 per ounce. So here again we remain on track to achieve full year cost in production guidance for Macraes. So the key operating statistics at Coronation. We achieved lower than expected strip rate showing allowing us to mining more ore and less waste. The Mill Feed for the quarter was 1.5 million tons which is broadly in line with the previous quarter. The head grade was 0.99 grams per ton due to the higher grades mine from underground operation and the increased tonnage from the Open Pit. Looking forward to the final quarter, we expect the production to be similar to that of quarter three. Additionally we are currently in the process of the permitting of the Coronation North and our expectation is to start mining in the Coronation North in the first half of 2017. We’re at Macraes exploration. It’s an exploration on 35 kilometre of strike so it’s a very, very I suppose underdeveloped and highly potential field. 30,000 metres of drilling planned in 2016 for the program and has released in September exploration off date to discover some high-grade mineralization to the North of the Coronation North approximately 10 kilometres from the Macraes plant called Nunns. So at the quarter four, we expect to follow-up on the Nunns as well as continuing our focus on Coronation to the Eastern side of the load. Coronation North, Frasers Underground and also targeting Mareburn and Lot’s Wife.
Jeff Sansom: Thank you, Michael. I’ll now turn the next portion of the webcast to Chief Financial Officer Mark Chamberlain, who’ll run through the financial results.
Mark Chamberlain: Thanks for that Jeff. Looking at Slide 25 total liquidity at the end of the third quarter was $145 million which comprised cash of $88 million and undrawn revolving credit facility of $57 million. This liquidity together with internal cash flows is more than sufficient to complete Haile and leave us with healthy liquidity buffer at the end of 2016. Total debt at the end of the third quarter stood at $298 million. We have a corporate revolving facility at $300 million drawn to $243 million. We also had equipment leases of $55 million, that’s a bit of a jump from the previous quarter and represents that we’ve completed our program of the sale of lease back of Yellow’s [ph] of Haile and Macraes which was designed to provide us with incremental liquidity. Moving to Slide 26, this highlights the solid third quarter performance Michael earlier described revenue of $150 million, EBITDA $62 million and net profit of $31 million. Gold sales were down $127 million compared to $147 million. Whereas copper sales were reasonably consistent with $27 million compared to $28 million in the second quarter. Hence forecasted Q3 was slightly softer due to mine sequencing impacting on grades and resulted in lower gold production. As mentioned, we’re expecting higher production in the fourth quarter of Didipio and Waihi with Macraes to be similar to Q3 production. Slide 27 sets out the consolidated financial results table. There is no surprises here just looking at the EBITDA results. The gold price received is $84 higher so far compared to what we were seeing in 2015 and the copper price received is $0.17 lower. Net interest and finance cost are only marginally higher than they were in 2015, although we are borrowing more we have reduced the margin on the facility. Income tax expense of some $13.4 million is primarily associated with Waihi. There’s also an unrealized loss on designated hedges of $11.3 million and that relates to the New Zealand Dollar gold collars on Macraes production which is offset by the gain on the oil hedges executed at the start of the year. This leads to a very healthy net profit of year-to-date $94 million compared to $30 million and contributing to this has been the demonstrated success of the Waihi acquisition. Moving to Slide 28 sending out cash flows. The cash flow for the quarter was down at $29 million compared to $91 million in the second quarter. As you’ll see in the note there, the operating cash flows before working capital movements however was $61 million compared to $74 million in the second quarter which reflects the slightly lower gold production. What we’re seeing here is basically a large increase in receivables primarily on the copper concentrated Didipio. There was a large amount of stock at the both in mine at the end of Q3 which was cleaned shortly after. But with 10,000 tons shipments of concentrate taking place this means we’ll continue to see volatility in the cash flows. CapEx was $115 million for the quarter. As you can see below they’re big contributors to this with the Haile development $77 million. Didipio underground [indiscernible] and exploration and cost the group of some $7.5 million. I’ll hand it back to Michael to wrap up this presentation.
Michael Holmes: Thank you, Mark. So for the remainder of 2016 the Oceana Group. The Haile we continue to on track to complete the construction and ramp up commissioning with first ore through the mill by the end of the year. The operations as mentioned Didipio is expected to be higher in the third quarter on better grades offset by the lower mill feed Waihi production expected higher in quarter three, than in quarter three in the better grades and Macraes production is similar to quarter three and from our growth activities and the focus we have there is ongoing exploration activities. A continued advancement of the Didipio underground which is progressing very well and the continued advancement of the organic growth studies. So in summary ladies and gentlemen, thank you very much. We’re focused to continue the 2016 guidance and to fully maintain that based on a solid nine months performance year-to-date as well as the focus we have on our construction operation and growth areas. So thank you very much.
Jeff Sansom: Thank you, Michael. At this time we’ll open the lines to take questions. For those of you who seeking to ask questions we’ll taking them through the telephone only. We’ll now pause for few moments while we wait the callers to queue and I’ll turn the call over to the operator to assist with facilitating this process.
Operator: [Operator Instructions] your first question comes from Michael Slifirski from Credit Suisse. Michael, please go ahead.
Michael Slifirski: Couple of strategic questions, couple of operational ones. The operational ones first for Mike, please. First of all Didipio throughput you’re talking about it being lower this quarter but it was already pretty low in the quarter just completed has anything changed in terms of your expectation with respect to sustainable throughput. You obviously talked about some high freeze numbers as being an exploration and you seem to have fallen away from that. Is there any sort of surprise you had something changed or was there something in the quarter that was just a little bit anomalous?
Michael Holmes: Thank you, Michael. No there’s nothing, there’s no real changes and the mill’s actually progressing very well. There was some maintenance work that was completed. We’ve had some impact some slight impact from the ongoing hardness of the ore, so that will come through transit as we take the stockpile and material down. But the high freeze is still I think aspirational and achievable. We have an extended maintenance period in quarter four, so the throughput will be lower than the previous quarters and that too I suppose to enhance the throughputability [ph] so this lifeline has changed will enable the re-circulating load through the mills to be reduced and actually been assist with the throughput going forward.
Michael Slifirski: Okay, thank you. Certainly with respect to Macraes recovery really nice to see that 86%, is that simply Reefton no longer being in the mix or is it something getting about where you’re currently mining that gives you that 86%, is it - I guess the question is how sustainable is that when you look forward?
Michael Holmes: We’re expecting I suppose, a similar figure going forward I mean there is always the complication of the changeover material even though we’ve have bid. You still have the ramping up and the ramping down of the material changes, so having a consistent feed throughput open pit and underground should assist that recovery, yes.
Michael Slifirski: Thank you. Then the sort of more strategic ones. El Salvador what are you thinking about that? What’s your stance now, is there an option to continue with seeking a mining solution or do you abandon [ph] is too challenging?
Michael Holmes: Look I think, Mike with El Salvador the other question really was disappointing however we respect it. I suppose we haven’t made the decisions about the next moves with respect to our business in El Salvador with the current time because we’re currently reviewing the arbitration outcome in detail. But for us sort of it’s the continuing the business that we have over there is usual with the group that we have there and the community support that we’re giving. We’ll continue I suppose to work with the El Salvador Government on our belief and their belief I think that there’s enormous opportunities from a modern mining, modern resource industry in El Salvador and so we will, I suppose for us at the moment it’s just a sit back and consider what the outcome means and then what our next steps will be.
Michael Slifirski: Okay, thank you and then finally with respect to the Philippines. Where do you see it with respect to the exploration there, with that license that was granted and then taken away, is it back and how do you even think strategically as to what you put into the country given the extraordinary gyrations that you’ve seen over the last month or so from Open Pits being able and now mining being sort of acceptable again. How do you make an investment decision as to what you put into exploration and what exploration opportunities are actually there now compared to what your thoughts were just couple months ago?
Michael Holmes: I suppose of all I’ve seen in Philippines as an enormous opportunity and there’s - it’s one of our world-class leading operations. We’ve never lost out our exploration and our support license with regards to working with the government. I think the government is focused and it’s always been part of the 10 point plans. They’ve a sustainable, a responsible industry within the Philippines and so we’re working quite closely with the regulatory bodies and we have a good understanding regionally with the regulatory bodies there on what we have to do. We have been granted the exploration licenses and we have had our community programs approved and so we will be starting exploration activities within the areas that have been approved, this quarter.
Michael Slifirski: Thanks.
Operator: Thank you. Your next question comes from Jeff Killeen from CIBC. Jeff, please go ahead.
Jeff Killeen: Just wanted to start with Macraes. First of all just wondering 145,000, 150,000 ounces a year for this year, is that a type of level that we can expect rolling into next year?
Michael Holmes: Jeff, we haven’t provided guidance at the moment but with the next year we’re sort of targeting the production from Coronation North which is going through the continued process at the moment as well as continued performance our of Frasers as well.
Jeff Killeen: Okay very well, then on just thinking about the capital spending for this year particularly in New Zealand it seems though the capital spent through the first three quarters is really approaching with the number that have been guided towards earlier in the year. So should we expect to slow down in capital spending in New Zealand for the balance of the year or is that number maybe going to gravitate higher than original?
Michael Holmes: Sorry Jeff is that for exploration or was that just capital in general?
Jeff Killeen: No, just capital in general, total capital spend.
Michael Holmes: No, that’s sort of guidance. Jeff, so continuing on as we kind of go.
Jeff Killeen: Okay, very well. Then shifting to Didipio, the $30 million and savings you’re noting and sustaining cap would we think of that as being just small amounts on an annualized basis, will it be chunky towards the front, towards the back, can you maybe elaborate on that a little bit?
Michael Holmes: Yes, sure we have a lot to mine Jeff and it will be depended on I suppose the areas that were identified that previously were identified as mining the smallest first. So with some additional do technical drilling as well as the performance of the area, the [indiscernible] in the Open Pit and Stage 5 we’ve been managed to operate the design, so that will be over the life of the mine that $30 million worth of [indiscernible].
Jeff Killeen: Okay very well and then lastly from me. You’re getting close to the final stages at Haile so are you getting a better sense and are you able to give us some context for what you conceive for a ramp up period from when the ore first hits the mill to sort of hitting a steady state of the timeframe you’re thinking there?
Michael Holmes: Well, the first ore through the mills at the end of the year and then the commissioning period, I suppose just it will depend on currently where we are but we’re hoping that it’s going to be similar ramp up to Didipio.
Jeff Killeen: Okay very well, that’s it from me.
Michael Holmes: Well you realize, I suppose put that when you rely on expertise that we have done to Didipio as well as building a commissioning team with people from the Didipio commissioning as well.
Jeff Killeen: Okay, very well. Thank you for your time.
Operator: Thank you. Your next question comes from Chris Thompson from Raymond James. Chris, please go ahead.
Chris Thompson: Just a couple of quick questions here. We’ll start off with Haile and you mentioned that obviously you’re stockpiling sulphide and oxide ore right now. Can you give us the census of the grade that’s, that stockpile is at right now?
Michael Holmes: Well currently it’s still quite light right, it’s the transitional material of the talk, so we’re looking in sort of the ones to 2.5 as we get through the down into the Mill Zone will be giving into the high grade areas. So we’ll preferentially I suppose you know through the commissioning period select the ore that we put through so that we’re not losing too much of the material and won’t be commissioning it similar to Didipio and then as we go in through commission then we’ll get into the high grade material.
Chris Thompson: All right and then, can you comment on grade reconciliation against your block model right now?
Michael Holmes: No I can’t.
Chris Thompson: Okay, just moving on very quickly to Didipio. You mentioned that you’re in the process of Stage 6 right now, can you give us a sense of quarter-by-quarter for next year whether this is going to be consistent grade or is it going to be a level of variation?
Michael Holmes: At the moment we’re still I suppose working through the budget, so that hasn’t been finalized. It will be a combination through the year of the higher grade ore coming out from Stage 6 as well as the stockpile material and then as we go into 2017, it will be continued to be the feed from the Stage 6 material plus underground plus the stockpile material.
Chris Thompson: All right then, great and then just finally just I guess onto Macraes here. Can you give us a sense for the quarter percentage that came from the Open Pit versus percentage from the underground? Tons?
Michael Holmes: From the?
Chris Thompson: [Indiscernible] in the Open Pit Macraes, just percentage mill feed?
Michael Holmes: I’m [indiscernible] top of my head, but we’ll get back to you on that one, Chris.
Chris Thompson: Okay, no worries and just I guess just to reiterate I think an answer to previous question about the recoveries there, would you say that 86% is sustainable?
Michael Holmes: I’d say between what we’d achieved and 86% would be sustainable going forward, yes.
Chris Thompson: All right, okay guys. Thanks.
Operator: Thank you. [Operator Instructions] your next question comes from David [indiscernible] from Macquarie. Please go ahead.
Unidentified Analyst: I’ve three quick questions. The first question, just following up on Didipio potential life of mine savings of $30 million. In terms of the larger stoke sizes driving CapEx savings, is this driven by increased sub-level spacing or are there other elements that are pushing the cost savings as well?
Michael Holmes: It’s purely driven by the access and some of the services and the structure that goes into those actually as well.
Unidentified Analyst: Okay, right and bigger, bigger picture still on Didipio. The scheduled maintenance for the fourth quarter, how long is that in position to be?
Michael Holmes: The extended shot we’re counting for Didipio to be around 12 days at the moment and we’ll just see how we manage through that process.
Unidentified Analyst: Great thank you and at Haile, I believe there were roughly 400 RC holes planned to confirm upper part of their resource has that been completed and can you comment how that’s reconciling with the resource model?
Michael Holmes: I think we’re just going through that reconciliation process at the moment, the other than way around we’re colliding that information, so it’s hard to compare this point in time, with certainly what that might be.
Unidentified Analyst: Okay, great thanks for answering those questions.
Operator: [Operator Instructions] there are no further questions at this time. Please proceed.
Jeff Sansom: That concludes the presentation for today. On behalf of the team at OceanaGold I would like to thank you for your interest and participation and should you have any further questions. Please don’t hesitate to contact me directly. Thank you.
Operator: Ladies and gentlemen, this concludes your conference call today. We thank you for participating and ask that you please disconnect your lines.